Operator: Ladies and gentlemen, welcome to the Rosneft Q4 Full Year 2015 Financial Results Call. I’m now handing over to the management team to begin. 
Svyatoslav Slavinsky: [Foreign Language] Good afternoon, ladies and gentlemen. I am Svyatoslav Slavinsky, Vice President for Economics and Finance. Together with me here are present our managers and we want to present you the results for Q4 2015. Eric Liron, First VP, Upstream; Andrey Lazeev, Chief Geologist; Vlada Rusakova, VP, Gas Business; Avril Conroy, Vice President for Business Development; Yury Narushevich, VP, Internal Services; Dmitry Torba, Chief Accountant; Artem Prigoda, Advisor to the President, Director EPM in Upstream; Alexander Krastilevskiy, Advisor to the President and Director for EPM in Downstream; Oleg Ivanov, Director, EPM Gas Business; [indiscernible], Director Reporting; Andrey Koravaikin, Advisor to President, Director of EPM and Controlling; Andrey Baranov, Director Investor Relations; Baranov, Director of Strategic Development; Karimov, Director of Production Planning; and other colleagues. After a brief presentation of our results, we will be happy to take your questions. Slide 2, let me note that the presentation contains information of the future events and forecasts. First, I’d like to note that 2015 was not an easy year for the entire oil and gas sector due to an unfavorable external environment. The average euro price went down by almost half in dollar terms and in first quarter of 2015, oil prices continued their decline and for the first time the barrel was below $30 and reached about RUB2,250. In those conditions, Rosneft continued improving its efficiency responding to the current challenge. The Company demonstrated good operational and financial results focusing on key priorities. The Company has made significant progress in all areas of its operations. Let me start with a brief discussion of operational results. Despite a decline of oil prices, SEC reserves increased by 1.4% up to 34.5 billion barrels of oil equivalent. Hydrocarbon production grew by 1% reaching an average of 5.16 million barrels per day. We continue to increase gas production up to 62.5 billion cubic meters or by 10%. We’re continuing refinery upgrades. In 2015, we’ve completed a full transition to Euro-5 gasoline and diesel fuel and up to 55% and 66% respectively we’ve increased the throughput of light products. Strong operational results have become a good basis or good financial indicator thanks to a growth of crude oil product sales particularly east bound. The Company has limited-to-negative impact of market conditions on revenues, which decreased only by 16% in RUB and 6% in dollars. EBITDA grew by 17.8%. In complicated macroeconomic conditions, we have increased net profit up to RUB355 billion improving the dividend base. In volatility conditions and limited sources of financing, we’ve optimized CapEx with strategic goals remaining unchanged. As a result of generating stable free cash flow, the Company reduced net debt by 47% in dollar terms down to $23 billion. Therefore, the economic position of the Company has strengthened. Let’s now move to the key achievements in operation. I give the floor to Andrey Lazeev, Vice President and Chief Geologist.
Andrey Lazeev: Good afternoon dear colleagues. According to an audit completed by DeGolyer & MacNaughton, proven hydrocarbon reserves, SEC reserves stand at 34.5 barrels of oil equivalent by the end of 2015 having increased by 0.5 billion. This was contributed by successes in exploration, new optimal development plans, effective work to improve the productivity of the world stock, and significant achievements in the exploration of tight reserves. Let me particularly note that in the last three years, the replacement ratio was about 188%. As a result, Rosneft remains a leader in proven hydrocarbon reserves among public oil companies in the world. By the end of the year, we completed 2D seismic 22,6000 kilometers and 7,2004 square kilometers of 3D seismic. 59 exploration wells were drilled with a success rate of 84%, which is the highest number in the Company in the last five years. As a result of exploration in 2015, we’ve discovered seven fields and 117 new deposits with total C1/C2 reserves of 232 million tonnes. The total increase of reserves was 276 million tonnes of oil equivalent. I stop here and give the floor over to Eric Liron, Vice President, Upstream.
Eric Liron: [Foreign Language] 36% to 6.9 million meters and commissioned 1,839 new wells with 30% share of horizontals. The Company continues its strategy to develop internal sources, which helps to improve upstream performance even in a challenging macroeconomic environment. In-house rig fleet reached 223 operating units with numbers of crew rising to 208. The share of production drilling performed by its internal service units exceeded 50% last year. Rosneft has successfully integrated a new fracturing division acquired from Trican Well Services, which helps to support growing internal needs with operational capacity. The Company keeps introducing more efficient types of well completion. The number of horizontal wells with multi-stage hydrofracturing increased by 45%. In 2015, Rosneft performed more than 1,000 side-tracks implying a 44% year-on-year growth. This generated more than 2.6 million tonnes of incremental oil production. Let’s move to hydrocarbon production. As Svyatoslav Slavinsky already pointed out, the average daily hydrocarbon production reached 5.16 million BOE last year. The 1% growth was driven mainly by Greenfields production on development drilling and program ramp-up and successful use of workovers. This was supported by reducing natural decline rates at Company’s brownfields due to higher number and quality of wellworks. In Q4 2015 liquid hydrocarbon production increased by 0.2% quarter-on-quarter reaching 51 million tonnes. The Company plans to improve the performance further in 2016. Additionally I would highlight, 30% growth in drilling activity, the commissioning of new wells was up only by 15%, which should positively impact the dynamic in oil production rates in 2016. Last year we have significantly increased production capacities in the Northern tip of Chaivo and Uvat fields. Since the development started up in 2014, more than 2 million tonnes of oil was already produced in the Northern tip of Chaivo field. Three new fields were put on stream at Uvat; Protozanovskoe, South Gavrikovskoe, and Malyk field. Development drilling started at Zapadno-Epassky field. Oil production in this field is expected to begin early 2016. Let’s look at the progress in key projects in the Nenets region. I want to briefly update you on our key new projects. In 2015, commercial production started at Labagan in the Nenets Autonomous District with total 3P reserves at 35 million TOE or 241 million BOE. This year production is planned to reach 1 million TOE. Currently, the Company is actively working in Naul field with launching target in Q3 2016. The construction of two pads with communication corridors, a pressure pipeline, a multi-phase pumping station platform, and an energy center will be completed soon. The field is expected to produce about 0.4 million TOE in 2017. Let’s move to projects in the Yamalo-Nenets and North of Krasnoyarsk region. In 2015, first development work will continue at Suzun. The field is to be developed in two stages. Stage one, delivery of the key oil treatment and transportation facilities in 2016. Stage two, delivery of the key gas facilities and external power supply and auxiliary facilities in 2018. The field is expected to reach its oil production plateau of about 4.5 million tonnes already next year. Together with Gazpromneft, construction of key infrastructure facilities is underway at East-Messoyakha. The field is to be commissioned in Q4 2016. A plateau of 5 million tonnes of oil is expected after 2018. Now, let’s look at the optimization of the production portfolio. The Company continues working actively on attracting partners into its upstream projects. During 2015, we closed the sale of 20% stake in Taas-Yuryakh to British Petroleum and in March 2016 we signed a legally binding share sale agreement relating to 29.9% participatory share invention subsidiary with group of Indian strategic investors. An agreement was reached to sell 15% in Vankor to ONGC and Rosneft. The Company also signed with ONGC a Memorandum of Understanding for co-operation about potentially increasing the stake in Vankorneft to 26%. In March 2016, Rosneft and a group of Indian companies signed a Heads of Agreement in respect to the acquisition of 23.9% share in Vankorneft. Finally, back in 2015 the Company agreed on the basic terms of co-operation with Sinopec to jointly develop the Yurubcheno-Tokhomskoe and Russkoe oil fields with a possible sale of up to 49% stake in these assets. As part of assets optimization, the Company disposed of its 50% stake in Polar Lights. Now Vlada Rusakova, Vice President of Gas Business, will continue the presentation. Thank you.
Vlada Rusakova: [Foreign Language] Thank you. Good evening dear colleagues. In 2015 Rosneft increased gas production by 10% reaching 62.5 billion cubic meters mostly thanks to the delivery of process gas from Vankor, commencement of gas production in Khadyryakhinskiy license area, commissioning of wells in Tarasovskoe of Purneftegaz, production ramp-up by Rospan, and commencement of commercial development in the northern part of Chaivo in Sakhalin. We also improved associated petroleum gas utilization, which was 88% in 2015 compared to 81% in 2014. We continued reserves replacement developing new license areas and building infrastructure within the existing field boundaries and the Russian reserves increased by 4% reaching 7.5 trillion cubic meters. In accordance with the approved plan, we are developing the Rospan project which is going to be our production growth driver. In Q4 we launched the second train of the Novo-Urengoi gas treatment and gas condensate facility on a trial basis and that ensured incremental production in 2015. We started fracing jobs in Rospan that proved to be highly efficient and made it possible to improve the productivity of new wells by 20% compared to the conventional technologies. Moreover in 2015, the Company had 16% share in the gas market and we concluded two new contracts with E.ON Russia for 4.4 billion cubic meters of gas for five years and with EVRAZ for 14 billion cubic meters for a period of 10 years. In 2015, the Company supplied 2.4 billion cubic meters of gas to the St. Petersburg Exchange, which accounted for about 35% of the total gas production. And within few months in 2016, we supplied 0.7 billion cubic meters of gas to the St. Petersburg Exchange. And we have set up a JV with Alltech that is going to be a key gas production hub in Nenets Autonomous and we plan to build an LNG plant. Let me hand over to Alexander Krastilevskiy, who’s going to say a few words about downstream performance.
Alexander Krastilevskiy: [Foreign Language] Thank you very much. Good afternoon, good evening, ladies and gentlemen. 2015 in downstream was under the aegis of the transition to the Euro-5 standard which was successfully completed in December 2015, which proved the Company’s focus on full compliance with the highest standards and our commitment to the upgrading program that the Company had assumed earlier. In 2015, we commissioned Kuibyshev, Novokuybyshev, and Ryazan refinery isomerization unit construction. Besides, we launched an MTBE unit in Angarsk. In accordance with the approved business plan for 2016, we plan to commission cat crackers and MTBE units in Kuibyshev. The Company’s priority in 2015 was import replacement and development of our well engineering and technological capacity. All cat crackers switched over to a domestic catalyst. In 2016, we plan to complete the catalyst regeneration process at the Novokuybyshev catalyst plant, which would make it possible to avoid sending the catalyst outside Russia. And on the next slide, you can see some details regarding product sales and marketing. The Company is successfully diversifying its sales between the eastern and western destinations. And speaking about the eastern destinations, our supplies increased by 18.5% in 2015. We’ll keep working with our Asian partners and provide a guaranteed access to the Company’s efficient oil sales channel. And as part of our co-operation with Asian and Pacific companies, we signed a contract with ChemChina for up to 2.4 million tonnes until July 2016. In late 2015, Rosneft and PKN Orlen agreed to extend an oil supply contract to Poland for three years from February 1, 2016 until January 31, 2019, and the total contractual volume is up to 25.2 million tonnes. In 2015, we signed a direct contract with KazMunayGas for delivery of 3 tonnes gasoline to Sakhalin and we closed a deal with Petromarket, the company that has its own oil depot and resale network in Armenia. We are also working in Georgia and we supply products to the Armenian market. Let me hand over to Svyatoslav.
Svyatoslav Slavinsky: Thank you, Alexander. The Company’s revenue amounted to RUB5.150 trillion, which was a 6.4% decline against the ruble oil price drop by 16.3%. The negative effect of the price drop was offset by ramping up oil and oil product sales volumes outside Russia by 6%, and gas sales by 3.8%. We continued managing our costs against a negative external environment. And in 2015, the increase in the lifting cost was 8.5% against the increase in the consumer prices by 15.5% in absolute terms. The unit lifting cost was RUB159 per barrel of oil equivalent or $2.60, which is three times lower than the global competitors. The cost increase in downstream was mostly driven by the feed stock and additive prices and transition to Euro-4 and Euro-5 standards. In terms of EBITDA, EBITDA increased by 17.8% up to RUB1.245 trillion. The Company’s net profit increased by 2% up to RUB355 billion. The 2015 CapEx amounted to RUB595 billion, which was 11.6% higher year-on-year. This was mostly driven by development drilling, by development of Greenfields, and infrastructure construction. And in terms of investments, in joint projects they exceeded RUB600 billion. In 2015, Rosneft maintained its leadership position in terms of capital efficiency with unit cost being $4.3 per barrel of oil equivalent, which is an important factor given the current market environment and financial constraints. To comply and meet its strategic objectives to ramp up production as maintained each year in the domestic and global market, the Company plans to increase its CapEx in 2016 by more than 30% in ruble terms. The Company continued managing its leverage in 2015, and managing the debt portfolio. The positive cash flow and advance payments made it possible for the Company to reduce our debt by 24.6%. The net debt decreased by 47% by more than $20.6 billion. Despite debt repayment in 2015, Rosneft had sufficient free cash balances in an amount of $22.4 billion in late 2015. Net debt to EBITDA as of December 31, 2015 was 1.1%, which was consistent to achieve the level the Company had prior to the acquisition of TNK-BP. Given the macroeconomic environment, the Company keeps demonstrating high financial sustainability and efficient project management, portfolio management. Thank you. Your questions?
Operator: [Operator Instructions] And first question comes from the line of Karen Kostanian from Bank of America. Please go ahead.
Karen Kostanian: [Foreign Language] Good evening. Congratulations on the good performance. I have three questions. The first question relates to dividends. A few days ago there were lots of publications in Russian press that the Russian government and some members of the government would like to see it done their own way. I’d like to understand what your dividend plans are? It is clear that the dividends are pretty small both for the domestic market and judging by the global standards. Speaking about your debt; despite the significant repayment, there are still quite a lot of repayments to be made in 2016. Do you have any target leverage levels for 2016 and 2017? And what kind of tools are you going to use, are you going to repay debt or are you going to refinance your debt?
Svyatoslav Slavinsky: Karen, good evening. Thank you for your question. Speaking about the dividend. As of today, the dividends are 25% based on the Russian financial accounting standards. Of course we are going to wait for the directives to be adopted by the government and we understand that dividends are among shareholders priorities and we are working hard to increase the Company’s net income, which we managed to deliver last year. Speaking about the Company’s debt burden. The five-year plan was approved by the Board of Directors late last year, and the five-year business plan has all the plans in terms of raising funds, in terms of repayments, and in terms of generation of operating cash flows. The estimates are well balanced and actually speaking about our CapEx plans, we believe that they are well grounded, well founded. And in terms of raising funds, of course we try to raise funds when the environment is most favorable and we can raise both ruble or dollar debt and the numbers that you have seen so far, we are quite capable to cope with that. And I have mentioned our liquidity standing and we think that judging by all this, we will be able to deliver our plans within the next two years. Thank you.
Operator: The next question comes Max Moshkov from UBS. Please go ahead.
Max Moshkov: [Foreign Language] Thank you for the opportunity to ask a question and congratulations on the great performance. I liked the change in the production trend and we see the growth in Yugansk and hopefully it will be a sustainable growth. Two questions about CapEx, recently at the CEO mentioned RUB1 trillion as CapEx, you are talking about up to RUB900 billion if I can interpret slide number 22 correctly. Could you please give us the CapEx numbers that we should be guided by this year? The second question relates to downstream CapEx. You’re saying that there is a typical price level RUB2,980 per barrel and if the price drops lower, then you see yourself exposed to risk in downstream. So, how much do you have to invest to upgrade the Russian refineries and given the new macro trends, aren’t you going to reschedule or postpone your investments?
Svyatoslav Slavinsky: Good Evening Max. Lots of good questions. Speaking about the CapEx program, I have to say that when we speak about RUB1 trillion, we are talking about investments and CapEx. This is the total amount that is practically equivalent to RUB1 trillion. Therefore your interpretation is correct. In terms of our profitability or return on our investments, I should say that if the price is above $10, we will be able to generate some profit. If the price is at $10, we would be breakeven. Of course if that happens if the price keeps going down, we’ll make adjustments to our plans. But as I said, we can be breakeven if it’s $10 per barrel. Speaking about downstream, when we were revising our program and when we looked at our capability to supply Euro-5 fuel to the market, we realized that thanks to the downstream efforts and to the efforts by technology, we had significantly managed to cutback our CapEx but at the same time meet all our commitments that is crucial from the financial sustainability perspective. And we have already purchased some of the units, some of the units are being installed, we’re not going to put these activities on hold. But as to massive investments that you observed several years ago, they would not take place because our technological solutions are pretty bad.
Max Moshkov: If possible, I’d like to ask for a clarification. You have mentioned more than $20 billion is your cash balances with banks. Given the liquidity and the reduction of your debt burden, why should you sell cash generating assets like Vankor and [indiscernible]?
Svyatoslav Slavinsky: This is a long-term program that we started early last year. On the other hand, the valuation that we use to sell our interest in the project is pretty attractive and it is not consistent with the current pricing environment. If we look at the valuation that we used, first of all the price assumptions that were used were before the price drop and we used multiples and in this case, the Company evaluation was more than RUB100 billion. Therefore that is quite attractive. In terms of value creation, I don’t think that the transactions are value destructive. They are robust and we are trying to balance our production profile taking into account the deals that we are closing with our partners. The production profile would ramp up and our cost efficiency would improve. Thanks to Slavinsky and thank you.
Operator: Our next question from Ron Smith from Citi. Ron, please go ahead.
Ron Smith: Yes, good evening, thank you for the call. My question is for Eric Liron talking about Yugansk and Purneftegas. You increased drilling there substantially last year, as a matter of fact it was the main driver according to my numbers of your overall drilling increase, and yet production there really hasn’t risen yet. I noticed that it seemed to bottom out in July and has come up a little bit off the bottom, but to me it doesn’t seem it’s responding yet to this very strong increase in drilling. Could you give us some details as to when and how we might expect production there to increase and have you changed the drilling mix there during the increase? Are you drilling more horizontal wells or more vertical wells or is Rosneft running more multi-jet hydrofracs on those wells? It would be kind of curious to hear how the strategy may have changed at Yugansk given the sharp ramp-up in drilling?
Eric Liron: So I think – thanks for the question. In case as you said, the main driver in drilling is Yugansk. We managed to ramp up the number of drilling rigs by end of Q4 so that’s why you see the impact on the production did not happen exactly in Q#. It will happen mainly starting end of April, May. Again we – as mentioned when I presented my slides, we commissioned only 10% of these wells. So, accumulating the portfolio of wells to be commissioned and we’ll start seeing the production ramping up in May. The drilling mix has evolved, has not dramatically changed, but has evolved. We are continuing a handsome program of side-tracks definitely and we’re shifting to more horizontal wells with multi-stage. For the time being we are still sticking to four to five stages in the horizontal, but based on our learning in Samotlorneftegaz where we reached 29 stages, we’re going to slowly ramp up in selected shales in the number of stages in Yugansk. Thank you.
Ron Smith: If I could have a follow-up question for Svyatoslav. Would you mind explaining a little bit about the RUB28 billion contribution to EBITDA from the return of prepayments in Q4 just to make sure I understand how that works in terms of contributing to EBITDA?
Svyatoslav Slavinsky: Ron, this is the hedging structures that we have; sometimes it impacts negatively, sometimes positively. So this is an accounting effect, but it’s a reflection of the accounting before hedging that we have in place since 2014. So you saw a negative effect level in previous quarters, you see positive effect this time.
Ron Smith: Okay, thanks.
Operator: The next question comes from Alexander Kornilov from Aton. Please go ahead.
Alexander Kornilov: Good evening, ladies and gentlemen. This is Alexander Kornilov from Aton. Yes, well I have about only one question to build up on the Yugansk topic, as you know Yugansk is not your only brownfield asset. What are your expectations? I’m in particular interested in Orenburg and Samotlor , what are your production expectations for 2016 from brownfield?
Eric Liron: I’ll answer this. This is Eric. So, we’re still building up on Yugansk as you said and we’ll see the increase in production will happen really by year-end 2016. Regarding Samotlor, what we’re doing is we are stabilizing the decline and the plan is to keep as flat as possible on this one. Orenburg after a small drop in production we started in Q4 last year, we’re stabilizing the production and the plan is to keep it stable throughout the year.
Alexander Kornilov: [Foreign Language] Thank you.
Operator: Our next question come Artem Konchin from Otkritie Capital. Please go ahead.
Artem Konchin:
. :
Svyatoslav Slavinsky: Our Chief Accountant, Andrei Dokhlov, will answer this question.
Andrei Dokhlov: Yes, indeed the change was positive, the effect was positive mostly because of the following. In 2014 there was a strong negative effect of the duty lag that was no longer there in 2016. So, basically this is the effect that materialized because of the previous year tax pays. Thank you.
Operator: Next question comes from Andrey Polischuk from Raiffeisen. Please go ahead.
Andrey Polischuk: Good evening, thank you for the presentation. To build up on the discussion of the production, what would be the 2016 task area production? And the second question, could you please share the 2016 export planned to China with a breakdown by destination?
Svyatoslav Slavinsky: I’ll answer the second question. This is Svyatoslav Slavinsky. Unfortunately we cannot give you any detail regarding our supplies to China or deliveries to China because this is confidential. But I can tell you that we keep ramping up our shipment to China.
Eric Liron: Regarding [indiscernible], I’ll answer that question. Okay, we plan to remain more or less flat with the target to slightly over suit what we achieved in 2015
Svyatoslav Slavinsky: Thank you.
Operator: The next question comes from Igor Kuzmin from Morgan Stanley. Please go ahead.
Igor Kuzmin: Good evening. My question, I have three questions. Mostly related to 2016 forward our focus. Could you please share, what your expectations in terms of the receipts from the deleveraging program, the divestment program? Do you have any target number in your plan that you can share with us? And the second question is about OpEx. In Q4 we would like to understand whether there were any one-offs that might have an impact on production cost, on refining cost, or any other costs and therefore how would your costs look year-on-year in 2016? And my last question is do you expect any pre-payment in 2016 EPS without the volume? Thank you.
Svyatoslav Slavinsky: Thank you for your questions, Igor. I would be happy to share the information. Unfortunately this information is not available to us, but we do hope that we would keep being as efficient as before. Of course we do have some targets in the business plan, but they are pretty conservative, that’s why I’m reluctant to share them. Speaking about one-offs, yes, indeed we are consolidating the Novokuybyshev petrochemical plant. This is the only one-off, the rest is business as usual because we do not see any other material changes in our structure. Sorry, I didn’t hear your third question well enough.
Igor Kuzmin: About the prepayment, do you have any expectations?
Svyatoslav Slavinsky: The 2016 prepayment, we cannot comment on that due to the same reason. In 2016 we entered into a detailed confidentiality agreement with our Chinese partners and we cannot comment on that. Once we get this prepayment, you will see them in our quarterly results.
Igor Kuzmin: Well, speaking about the Novokuybyshev plant, could you please quantify your expectations? Thank you.
Svyatoslav Slavinsky: Well, I’m afraid we would have to get back to you with the number. It is not very material, it would not change our cost structure much. But we’ll get back to you with the number.
Operator: Next question from Ildar Khaziev from HSBC. Please go ahead.
Ildar Khaziev: Good evening, thank you very much for the presentation. I have one brief question regarding tax area. If I remember correctly, it was stated in the press last year that there might be exports, do you see benefit and the mineral extraction tax benefit? Are there any tax benefits now?
Svyatoslav Slavinsky: Speaking about the tax benefit, we’re still working and this asset is on the same list with some other assets that are looking forward to getting the benefit.
Ildar Khaziev: How about MAT relief?
Svyatoslav Slavinsky: We are entitled to use tax breaks, but this is something that was before as well. Thank you.
Operator: Next question comes from Ekaterina Rodina from VTB. Please go ahead.
Ekaterina Rodina: Good evening, thank you very much for your avail for the opportunity to ask question. I have couple of questions. The first question, could you please give us an idea about your oil production target for 2016 year-on-year? And the second question is could you please give us an idea about the 2016 investment giving the breakdown by upstream and downstream or perhaps give us the growth rate for 2016, the investment growth rate?
Eric Liron: Regarding production, we’ll remain flat in 2016.
Svyatoslav Slavinsky: Speaking about CapEx, the majority of our investments will be focused on Greenfield and on sustaining Brownfield one-third to two-thirds. That’s the breakdown approximately. Speaking about downstream and the gas business, I think they would account for about 20% of the total CapEx.
Ekaterina Rodina: Thank you very much.
Operator: The next question comes from Evgenia Dyshlyuk from Gazprombank. Please go ahead.
Evgenia Dyshlyuk: Good evening, thank you for the presentation. My question relates to gas production. In 2015 it was associated petroleum gas that was the growth driver and Western Siberia was the growth region. In this context, I’d like to ask you about your gas monetization plans in the region whether you plan to invest in gas processing capacity et cetera, et cetera? Thank you.
Vlada Rusakova: Thank you for the question. It was not the Eastern Siberia that was the growth driver, but Western Siberia as I said before. Vankor is Eastern Siberia, but gas is pumped to the west. There was a production increase in the rock band in Tarasovskoe, half into Tarasovskoe, half that was Western Siberia and [indiscernible] gas, which is Western Siberia as well. You asked about gas processing. We have plans to develop gas processing in the Yugansk gas and we are currently in the process of developing accessibility study for the Moscow gas plant and we have a project that is about to be submitted to the investment community that is the [indiscernible]project. I think that’s it. How do we plan to monetize the Eastern Siberian gas. We are yet producing any gas in the East, but we plan to monetize it by supplying to consumers located further east and if possible overseas as well outside Russia. And in Sakhalin, we monetize gas by selling it to consumers and the share, our share is higher compared to other gas producers in terms of deliveries to consumers. Thank you.
Operator: The next question from Ksenia Mishankina from UBS. Please go ahead.
Ksenia Mishankina: Thank you for the presentation. I have a couple of questions. What is the portion of your CapEx which is maintenance? And the second question, what is the portion of short-term debt that you plan to refinance?
Svyatoslav Slavinsky: Well, I think it would be easier for [indiscernible] to answer for upstream and as to maintenance CapEx in downstream, I’ll hand over to Alexander Krastilevskiy.
Alexander Krastilevskiy: I’m from [indiscernible] upstream. It is important to understand what sustained costs are because drilling is also for the sake of sustaining production. If we are talking about maintaining production from Brownfields, then I should say that the breakdown in CapEx is 50-50 between Greenfields and Brownfields in 2016 as well. Given that we are actively putting new projects on stream, then this mix will be maintained and that is because we are ramping up drilling in Brownfields mostly in Yuganskneftegaz. [Foreign Language] In downstream, the sustainability program will be strongly dependent on our development program. I should say that about 20%, 25% of CapEx in downstream will be sustained CapEx. And speaking about short-term debt refinancing, that depends on offers that we get and we have received at least a good offer of about RUB100 million for refinancing and we took advantage of it. It is hard to predict the financing volume given the environment. But if you look at our repayment profile, we actually use short-term refinancing in an amount of RUB12 billion, which also has a good impact on our borrowing picture.
Operator: Max Moshkov from UBS. Please go ahead.
Max Moshkov: Thank you. My question relates to conventional reserves or reserves compared to total proven reserves SEC reserves. And the second question is about your long-term production targets of 300 plus million tonnes of oil equivalent. Is there a change in the oil and gas mix? And could you please let us know which contracts you have concluded for gas delivery?
Andrey Lazeev: [Foreign Language] Further to your first question, Andrey Lazeev, the Chief Geologist. The classification of reserves when we go through international orders of reserves, there is no split between conventional reserves or unconventional reserves because they use a single methodology, that’s why it is not possible to give you any breakdown on mix. But at the same time if we look at tax break through or tax benefit for hard to recover or challenging reserves, then last year we had about 11 million tonnes of production that was entitled to tax benefit.
Eric Liron: On the second question, I confirm that all of our key strategic objectives, they stay fully intact and the mix between oil and gas will remain the same. Thank you.
Vlada Rusakova: Speaking about the existing gas contracts, we have a portfolio of about 80 billion cubic meters until 2020.
Operator: Artem Konchin from Otkritie Capital. Please go ahead.
Artem Konchin: Sorry. Someone here has asked my question. Thank you very much.
Operator: The next question comes from Evgeny Smirnov from Renaissance Capital. Please go ahead.
Evgeny Smirnov: Good afternoon, thank you very much for the presentation. I have one brief question. Regarding gas. Could you please let me know specifically what are your production plans for 2016 and what are the contractual volumes for 2016?
Svyatoslav Slavinsky: 64.8 billion cubic meters of production and 23 billion cubic meters contracted.